Operator: Welcome to the Gevo Q2 2014 Earnings Conference Call. My name is Adriane, and I will be your operator for today’s call. At this time, all participants are in listen-only mode. Later, we will conduct a question-and-answer session. Please note this conference is being recorded. I’ll now turn the call over to Mike Willis, CFO. Mike Willis, you may begin.
Mike Willis: Good afternoon. And thank you for joining Gevo’s second quarter 2014 conference call. I am Mike Willis, Gevo’s CFO. With me today are Pat Gruber, our CEO; and Brett Lund, our Chief Licensing Officer and General Counsel. Earlier this afternoon, we issued a press release, which outlines the topics that we plan to discuss today. A copy of this release is available on our website at www.gevo.com. I would like to remind our listeners that this conference call is open to the media and we are providing a simultaneous webcast of this call to the public. A replay of our discussion will be available on our website later today. On the call today and on this webcast, you will hear discussions of non-GAAP financial measures. Non-GAAP financial measures should not be considered in isolation from or as a substitute for financial information presented in accordance with GAAP. Reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures is contained in the press release distributed today, which is posted on our website. We will also provide certain forward-looking statements about events and circumstances that have not yet occurred, including projections of Gevo’s operating activities for 2014 and beyond. These statements are based on management’s current beliefs, expectations and assumptions, and are subject to significant risks and uncertainty, including those disclosed in Gevo’s most recent annual report on Form 10-K, which was filed with the SEC on April 14, 2014, and in subsequent reports and other filings made with the SEC by Gevo. Investors are cautioned not to place undue reliance on any such forward-looking statements. Such forward-looking statements speak only as of today’s date and Gevo disclaims any obligation to update information contained in these forward-looking statements, whether as a result of new information, future events or otherwise. Please refer to Gevo’s SEC filings for detailed discussions of the relevant risks and uncertainties. On today’s call, Pat will begin with a review of our recent business developments. I will then review our financial quarter of 2014. Following the presentation, we will open the call up for questions. I will now turn the call over to Pat.
Pat Gruber: Thanks, Mike. Thank you all for joining us on the call today. I believe we’ve turned the corner of side-by-side operation of producing isobutanol with ethanol has solve many of the operational issues we have encountered. We are finally getting in position to get out of the business of isobutanol producing and selling it at commercial scale. And today we are in a position to give more specific guidance. So let me talk about the Luverne first. As previously announced, we are in fact operating Luverne and what we called side-by-side mode, where we produced isobutanol and ethanol. Currently, three of our four fomenters are dedicated to ethanol while one is use for isobutanol. Recall that the reasons we went to side-by-side were three-fold. First, the production of ethanol facilitates consistent grind, grinding up the corn and recycle streams. This is important because dry mills don’t have waste water treatment plants and mostly all of the water used in our process need to be recycled to the front of the platform we use. The recycle streams need to be steady and consistent. Running ethanol keeps the stream and recycles all run exclusively while we work on isobutanol. Instead of chasing down plant operability crops, we can just focus on the IBA production and this is just what we have done. Regarding recycles, we are now at 100% recycle water into the IBA fermentation. That’s up from 90%. Our techniques for managing infection seem to work well at side-by-side. We have had no cross contamination in our isobutanol production or in the ethanol production, our biocatalysts while stay separate. While we have no significant issues with serious bacteria impacting our fermentations, so I am pleased results that we have on the side-by-side in terms of the operability of the plant, it make less so much easier in the commercial implementation of the isobutanol fermentation. The second reason is that running side-by-side dramatically improves the utilization of a plant to generate cash by utilizing all the assets at site. We believe that ethanol and animal feed profit will greatly assist us in covering the costs of isobutanol implementation with the goal of achieving profitability across both product lines as we ramp up isobutanol. Third reason is that we have several parties who are interested in the side-by-side business model, still have a working version of it. There seems to be good reason, people are interested in this side-by-side model, a good ethanol plant makes good money. However, to those plant owners is not obvious if and when the ethanol market will grow. So where will that growth come from? While isobutanol provides an opportunity for adding a product line and production capacity, while they keep their ethanol running. They can expand the revenue and margin for their plant by adding isobutanol production lines. As previously discussed, we have two LOIs for licensing the side-by-side isobutanol plant and I expect that we will add other partners for our licensing list and I look forward to converting these LOIs into definitive agreements. Now that the plant operability (indiscernible) approved, we are making good process on the isobutanol fermentation. We have consistently achieved high yields greater than 90% of our target. This is really good news. We have done that faster than I actually thought we do it. This means our isobutanol biocatalysts is converting carbohydrate to isobutanol very, very efficiently. At Luverne, we are currently installing the small distillation column and should have an operating in early fourth quarter. The purpose of this column is to debottleneck isobutanol side of the plant. This is straightforward engineering exercise, no bio-processing involved. While we are installing that distillation column we will continue to optimize the fermentation in 1 million liter for matters, with a particular view of driving our costs. The ethanol side of our plant has been running well, producing ethanol at a run rate of approximately 1.5 million gallons per month. That’s above our previous guidance of 1.25 million gallons per month. Operating at these rates, ethanol generates revenue of more than $3 million per month at Luverne. Now here is the correct way to think about our plant capacity as this site operating at this moment. We could run 18 million -- we are running 18 million gallons per year of ethanol. That’s the run rate for ethanol. Once the distillation column is completed and while we are running that 18 million gallons of ethanol, we will have a targeted isobutanol capacity of 150,000 to 200, 000 gallon per months or roughly 2 million to 3 million gallons per year of isobutanol capacity. While our capacity by year end would be expected to be above 2 million to 3 million per year, as I look at how we are planning to ramp up the isobutanol production, I believe that our year end run rate would be roughly 50,000 to 100,000 gallons per month. We will continue to push to the full run rate as fastest as possible in 2015 achieving the 150,000 to 200,000 gallon per month, while we run the 18 million per year of ethanol. Note, until the distillation column is operating in the fourth quarter, our isobutanol production capacity is going to be a big variable as we work on the plant. It will still be in tens of thousands a gallon per month. In 2015, we will have to make a decision to, A, switch ethanol capacity back to isobutanol production, or B, add more isobutanol fermentation capacity. That’s the future decision. It’s also worth noting that we began to selling iDGs that’s the animal feed product from the isobutanol fermentation in addition to the DDGS. Land O'Lakes Purina has been a great partner on the animal feed. So bottom-line of the plant is we are making a really good progress. We expect to see the plant EBITDA breakeven by year end as well producing isobutanol and ethanol. In the fourth quarter, by end of the year, we expect production of isobutanol to be reliable so we can sell isobutanol on the normal ongoing commercial basis. This is really good. Our team is psyched up. We like catching the plant operability issues behind us and we have been able to focus on the isobutanol production directly. We all like be in a position to supply isobutanol on a commercial basis. Now let’s turn to the commercial front. Our commercial team continues to develop market interest and results for isobutanol, as well as the product derive from isobutanol such as jet fuel, para-xylene and iso-octane. Our objective is to maximize isobutanol value focus drop in material for use in chemicals and as a feedstock to produce other hydrocarbons as the jet fuel, para-xylene and iso-octane. In both the drop in the feedstock markets, we have established partnerships and relationship that should achieve these objectives in maximizing isobutanol value. In marine market isobutanol clears to be an attractive product that sells crops, isobutanol is not soluble with water, has high energy, its renewable, so it appears to make for very good marine field component. Fleet engines appear to work very well with isobutanol fuels compared to those containing ethanol. We have been working with both U.S. Coast Guard and Mercury Marine confirming long-term engine testing with 60% isobutanol not less. We have been working with Noble Landfill, Gulf Hydrocarbon and others to enable supply to that market. In the chemical and solvents market, we have been working distributors who are servicing high value uses of isobutanol for mining, oilfield applications, as well as paint and coating and plastics. These specialty chemical applications for isobutanol appeared to be very attractive and I look forward to reporting more progress on those fronts. Gevo continues to produce jet fuel at South Hampton Resources and Silsbee, Texas for supplying Air Force and Navy. This jet fuel has been specified by the Air Force and Navy for blends up to 50% bio-based fuel in the final blend. We expect these specification is to be completed early next year allowing us to seek larger contracts with the arm forces. In addition, we expect the ATF specification for alcohol to jet fuel that’s the ATJ to be completed in the first quarter ’15. This is expected to enable also seek contracts in the civilian aviation market. Our jet fuel seems to work really well. They are relatively straightforward to make, looks like a good opportunity. Renewal PET or polyesters continue to be an interesting application for isobutanol. We have been converting isobutanol to para-xylene at our demonstrate plant South Hampton Resources and Silsbee, Texas. Para-xylene is a key raw material for making this plastic or bottle, packaging films and fibers. The process produce para-xylene from isobutanol has emerging well. We accomplished an important milestone in the second quarter are producing and delivering to Toray full renewable para-xylene. Toray will use this bio-based para-xylene to make bio-based polyester. Interest from our partners in renewable para-xylene and in renewable PET remains strong. So we continue to make progress on the commercial front, interest in our products appears to be high, we need to get out and we are supplying those customers and the applications. Now, I will turn it over to Mike Willis to discuss the financials.
Mike Willis: Thank you, Pat. Gevo reported revenue in the second quarter of 2014 of $7.7 million as compared to $1.9 million in the same period in 2013. The increase in revenue during 2014 is primarily result of the production, sale of ethanol and distiller grains of $5.5 million following the transition of Luverne plant to side-by-side. Revenues also increased in the second quarter of 2014 due to higher hydrocarbon revenues of $2 million. This increase was principally a result of the shipment of bio-para-xylene to Toray in May for which we recognized $1.5 million of revenue, including $1 million relating to a payment we received from Toray in 2012 for design and construction of our bio-para-xylene demo plant. We also generated revenue of $181,000 during the second quarter of 2014 from ongoing research agreements. Cost of goods sold increased to $8.3 million in the second quarter of 2014 versus $3.6 million in the same period in 2013 due to the increased production activity at the Luverne plant under side-by-side. R&D expense was $3.6 million in the second quarter of 2014 compared to $5.8 million reported in the second quarter of 2013. Our R&D activities in the second quarter of 2014 continued to be focus on the optimization of our technology to further enhance our iso-butanol production rates at Luverne as well as production related activities at our hydrocarbons demo plant in Texas where we produce our bio-jet, para-xylene and iso-octane products. R&D expense decreased in the second quarter of 2014 compared with the same period in 2013 due to $1.2 million decrease in expenses at the hydrocarbons demo plant and $0.8 million decrease in salaries and consultant expenses. SG&A expense for the second quarter of 2014 decreased to $4.9 million compared to $6.3 million from comparable quarter in 2013. Our second quarter 2014 results continued to show the benefits of cost-saving actions including decreases of $1.2 million in salary and compensation-related expenses. Within total operating expenses for the second quarter of 2014, we reported approximately $0.6 million for non-cash stock-based compensation. For the second quarter of 2014, we reported a net loss from operations of $9 million, down from a loss from operations of $13.9 million in the second quarter of 2013. Interest expense for the second quarter of 2014 was $5.8 million compared to $2.3 million in the second quarter of 2013. The increase was primarily due to expensing $3.2 million of debt issuance cost related to the Whitebox financing we completed in May. We reported a non-cash gain of $2.8 million during the second quarter of 2014, related to changes in the fair value of the derivative warrant liability and embedded derivatives contained in the convertible notes issued in 2012. The company also reported a non-cash loss of $5.1 million during the second quarter of 2014 related to a change in the fair value of the convertible notes just issued in the second quarter of 2014 to Whitebox. For the second quarter of 2014, we reported a net loss of $17.2 million or loss of $0.25 per share based on weighted average shares outstanding of 67,969,811. This compares to a loss of $15.2 million in the second quarter of 2013 or loss of $0.35 per share. During the second quarter, there were no conversions of convertible notes and at quarter end, we had 69,104,005 shares outstanding. Cash on hand at June 30th was $5.9 million. In May, we closed the financing with Whitebox Advisors that resulted in gross proceeds of $25.9 million. Investment was made by a term loan that was exchangeable into convertible debentures. After taking into account, debt issuance costs of $3.2 million, the paydown of the TriplePoint Capital loan by $9.3 million and the establishment of restricted interest reserve account of $2.6 million, the net cash proceeds to Gevo with the Whitebox financing were approximately $10.8 million. In June, Whitebox exchanged their entire term loan into the convertible debentures, taking into account PIK interest. Whitebox exchanged their term loan into $26.1 million of those convertible debentures. These debentures can be converted into common stock of the company at a price equal to $1.1584 per share and carry a 10% coupon of which under certain circumstances, 5% is payable on cash and 5% is payable in kind. In conjunction with the Whitebox financing, we also restructured our debt with TriplePoint Capital. We used $9.3 million of the proceeds from the Whitebox financing to pay down TriplePoint’s debt leaving a balance with TriplePoint $1 million at June 30, 2014 and which is now subordinated to the Whitebox debt. TriplePoint’s remaining debt will amortize over 36 months and carries a coupon of 9%. In August, we also closed in underwritten public offering of 30 million shares of common stock and warrants to purchase an additional 15 million shares of common stock. The warrants have an exercise price of $0.85 per share and expire on August 5, 2019. The shares of common stock and the warrants were sold together as common stock units but were immediately separable and issued separately. The gross proceeds to Gevo from this offering were approximately $18 million, not including any future proceeds from the exercise of the warrants. In terms of cash burn, we expect this to continue to decrease over the coming quarters, in particular, due to our decision to transition Luverne to the side-by-side configuration. In the U.S., District Court's recent decision to stay the patent trial that was scheduled to begin in July. As a result of these changes in our ongoing corporate expense control measures, we continue to expect Gevo’s quarterly cash burns decline into the single-digit millions in the second half of the year. With that, I'll turn the call back over to Pat.
Pat Gruber: Thanks Mike. So what does near-term future holds. I’d say I look forward to transitioning to our ongoing sales of isobutanol on a normal customer basis. By becoming a regular supplier, we are committing to customers that we won’t let them down. I expect our commercial development people to continue to add customers for both isobutanol and its derivative hydrocarbon products. I like where we’re headed reducing our burn. I like where we headed after burn. I like getting into EBITDA breakeven. I believe in turning the corner. And with that, we’ll take questions.
Operator: Thank you. (Operator Instructions) And we have Mike Ritzenthaler from Piper Jaffray in line with the question. Please go ahead.
Mike Ritzenthaler - Piper Jaffray: Yeah. Good afternoon.
Pat Gruber: Hey Ritz.
Mike Ritzenthaler - Piper Jaffray: Would you be able to delineate the EBITDA or the gross margin per gallon of ethanol in the quarter. I'm assuming that the gross loss stems from the fact that it was only a partial quarter of ethanol production?
Mike Willis: So the target of the plant itself is breakeven by Q4. So we think of the cost of goods associated with the plant itself. That’s all Luverne, other than a small amount of G&A that shows up at Luverne.
Mike Ritzenthaler - Piper Jaffray: Okay.
Mike Willis: So when you think about towards Q4 and we’re thinking about the plant in EBITDA breakeven, thinking about those cost of goods associated with the ethanol sales related products, isobutanol sales, that should net to effectively zero at that point in time.
Mike Ritzenthaler - Piper Jaffray: Yeah. Okay. That was the nature of my question. Thanks for the clearing that up. On the cash bridge from the end of Q1, thanks for the commentary about on how things stepped from the Whitebox infusion to the end of Q1. I’m wondering if there is any big pro forma, you can provide us on the current cash situation, given the recent raise?
Mike Willis: I think the only thing we probably say at this stage is that the current cash position takes us into 2015 but probably not, it’s just going to be specific in terms of how far into 2015.
Mike Ritzenthaler - Piper Jaffray: Yeah.
Mike Willis: We have a good runway to basically do all things that Pat described that we thought of doing, kind of, over the next couple of quarters.
Mike Ritzenthaler - Piper Jaffray: Sure. I guess, one last for me on isobutanol cash costs. I know that side-by-side helped greatly in reducing the cash costs of producing isobutanol. I’m curious about, basically how far is Gevo from achieving those kind of commercial economics or will that happen post distillation column and all that?
Pat Gruber: We need to get the distillation column there and right now, there is a bottleneck in the plant. We have a mixed stream that we have to take care -- mixed stream of ethanol and butanol, we have to take care of. So yeah, we get to the distillation column and then I can tell you we’re in a pretty good shape. Towards the end of the year, it will be good.
Mike Ritzenthaler - Piper Jaffray: All right. Thanks very much.
Pat Gruber: Thanks Mike.
Operator: And we have Caleb Dorfman from Simmons & Company in line with the questions. Please go ahead.
Caleb Dorfman - Simmons & Company: Good afternoon.
Pat Gruber: Hi Caleb.
Caleb Dorfman - Simmons & Company: So Pat, it seems like you have made some good progress on the isobutanol production. What are going to be the three key trigger points that cause you to think about ramping isobutanol production at the plant to 100% isobutanol?
Pat Gruber: There is several that we consider. It’s -- first of all is, continuing to improve how good we are on isobutanol. We start the work to do, keep it a space to come in, see it operate, get the products in the market place, see how customers want and how fast they want to offtake it. Make sure that we understand but still we will learn more about whether things might it occur in plan. I don’t expect anything that’s unusual but we are going to think it through pretty carefully and make sure that we continue with our eyes wide open. I would like to keep all the operability issues behind us. There is a bottleneck -- I guess the answer, I don’t know the full set of criteria yet. It’s going toe be a blend of economics, how can we make the most money, which mix of ethanol to isobutanol, which customers want product with where, how. This looks to be demand for it. So that doesn’t seem to be an issue. And then there is also the opportunity to expand the plant and there is people who have expressed interest in that side of things too. So it’s a question of, I just don’t know yet.
Caleb Dorfman - Simmons & Company: Okay. That’s helpful. Can you talk about the customer reception so far, do these initial volumes in isobutanol be shipped out? Are they ready to take on more isobutanol now if you’re able to produce it?
Pat Gruber: Yeah, I mean, this seems to be yes. So it seems to be good progress there. People are waiting for us. Our short commercial themes have done a good job of keeping people engage without. I think we did ourselves some credit in there. We didn’t over promise them. We were very clear to them and transparent along the way, explaining where we were on the supply situation. We don’t want to be engaged in the supplying until we’re sure we can deliver. So now I think this fourth quarter we’ll be able to do those sorts of things.
Caleb Dorfman - Simmons & Company: What sort of shape?
Pat Gruber: Looks that of previous shape.
Caleb Dorfman - Simmons & Company: What will take them to be ready to take a full offtake supply from Luvern if you switch to 100% isobutanol. How long would it take for them to be ready to take that volume?
Pat Gruber: Mike and I are looking at each other.
Mike Willis: Yeah. I mean, it’s a difficult question to answer only because -- we're definitely -- won't be until this 2015 when we’re thinking about that. So really, in the near term, we have in our mindset exactly the volumes that Pat talked about in his earlier comments, getting up to the 150,000 to 200,000 gallons per month. And that’s where we’re focused on right now, just making sure that we’re maximizing the ASPs on that. And as we are selling those types of volumes than we can do the other things that Pat has talked about is try to maximize the overall profitability of plants, whether would be a combination of isobutanol or ethanol, or all isobutanol. So it’s a difficult question to answer right now. I mean, if you look -- so if you believe all the customers, if you believe them all and we have to, because customers are friends of ours. Then it seems to be that we could -- as much as we can make, we should be able to sell. That’s what it looks like. The reality always is that you have to do it, that you have to go do it, that’s the reality. So I think there is some advantage of starting of the way we’re doing it where we’re going to have a limited supply at first. We have to go out and do the applications that are most valuable and expand them. Before we have to start talking too much, I don’t want to dump isobutanol into the marketplace too quickly. That is the overall…
Caleb Dorfman - Simmons & Company: That’s helpful. And I guess, final question. Do you have any updates on LOIs, maybe when you can actually -- you can put that into something more than just an LOI?
Pat Gruber: For the license agreements you mean?
Caleb Dorfman - Simmons & Company: Right.
Pat Gruber: Yeah. Mike.
Mike Willis: We are pushing forward as quickly as possible. Our partners that we talked about in the past i.e. IGPC and Porta remain very interested in moving forward with us. However, they’re both working on projects themselves that is taking up kind of their limited bandwidth right now. But they still remain extremely excited by the opportunity. And so again, our side, we’re pushing as forward as quickly as possible.
Caleb Dorfman - Simmons & Company: Thank you.
Operator: And your next question comes from Craig Irwin from Wedbush Securities. Please go ahead.
Craig Irwin - Wedbush Securities: Hi. Good evening and thank you for taking my questions. The first think I wanted to ask can you confirm for us that the ethanol produced in the run is renewable that you can ride in ethanol win on your production?
Pat Gruber: Yes.
Craig Irwin - Wedbush Securities: Great. Then looking at the other manufacturers out there, most of them are sort of suggesting mid-30s EBITDA per gallon crush on their facilities now. I know this is not a facility that was traditional ICM and not directly comparable given that it is a little bit smaller than some of these other facilities, but do you think that you would have likely have economics? If you would have run at full utilization for ethanol, similar to what would some of the other producers are describing these days?
Pat Gruber: Yes. I actually just ask my plant manager this exact same question. Now obviously, we burden the plant itself with additional cost associated with the isobutanol sort of the business. But if you factor that out and went back to kind of what was the fixed cost based, labor based, et cetera back in the days when it was just an ethanol plant, the number my plant manager described to me was probably in the $0.30 range EBITDA.
Craig Irwin - Wedbush Securities: Great, great. So then we would have sort of run the numbers on the fourth quarter, give-or-take you said, EBITDA breakeven by the fourth quarter. That sort of suggest that there was about a negative contribution about a $1.5 million in the isobutanol side. Can you maybe split out for us the approximate headcount or portion of headcount on the SG&A side, that's really focused on isobutanol versus ethanol, just so that we can understand the trajectory as we head into ‘15, if we do really see the strengthening environment like many of us actually expect.
Pat Gruber: I think the answer to this is, no, we can't put it out that way because we share resources across and so it’s parts of people and stuff there. It’s about the way you are describing. The way that you just saw is the EBITDA breakeven and having the run rate what I described at ethanol and isobutanol. So they are like the minimum requirements, how to get the EBITDA breakeven at the overall side. And as it goes up from there, it gets better.
Craig Irwin - Wedbush Securities: Great. And then just to discuss, I know this question was raised early on the call but to discuss the concept that what would have you switch incremental capacity from isobutanol to ethanol. Obviously, done a tremendous amount of work developing the market and developing the technology but would this be primarily a profit-driven decision or is this something where you would look to see the market, as you’re able to produce these gallons, knowing that that scale will benefit you as sort of a lagging factor?
Pat Gruber: I think you’re summing up well. So the way we look at it is hitting the market, making sure that we have the real life foster the growth opportunities with good margins. That’s the most important thing we can do. That’s where we need to be focusing our attention. We should then be taking that input and then decide in making that decision of do we switch over to isobutanol from ethanol or do we work to add capacity. And the thing is we want the lowest cost business system to be able to win in the long run, that’s actually what we shooting for. I thought it will be very easy -- it would be very easy for us to try to push everything over the isobutanol quickly. But if we have any hiccups so whatsoever than that could be a problem. So I want to make sure that we have our act completely together before we do that. So it’s a question I can't answer as to what we would do, how we would do it and for sure, it would be profit driven, in terms of how we think about it. We’ll try to maximize the profits. If isobutanol make twice as three times much margin of ethanol, that’s going to be a pretty powerful motivation to switch it more faster.
Craig Irwin - Wedbush Securities: Okay. And then last question if I may. So I know you’ve been really focused on isobutanol for a long time, just given the future potential. But over the last several years a number of the ethanol producers out there have made incremental changes to their plants. Deep bottlenecking, increasing the throughput things like production of corn oil, inedible corn oil for use, biodiesel production and other things, introducing micro grinding technology and some of the other small upgrades that can be done to plants to really improve the economics. Can you maybe frame out for us whether or not this is an opportunity for you and whether or not you have anything yet in the capital budget to allow this or if this is something that’s still in discussion?
Pat Gruber: You mean if that’s burn for us?
Craig Irwin - Wedbush Securities: Yes.
Pat Gruber: Yeah. All those thing that you list that fits us at Luverne. So some of those things, yes, those things all are relevant for us to lower the cost at Luverne as well. And we just have get around to yet. But specifically in the capital budget the answer is, no. But we are considering all those initiatives. Yes, all those things benefit us. And Luverne is actually a very good economical plant, it resided in the great corn basis area and the farmers in that region are really good. So we’re pretty well-positioned there and yeah, we can take incremental cost out of this plant.
Craig Irwin - Wedbush Securities: Great. It’s good to hear. That’s an opportunity. Thank you for taking my questions.
Pat Gruber: Yeah. You bet.
Mike Willis: Thank so much, Criag.
Operator: (Operator Instructions) And we have Jeff Osborne from Cowen in line with the question. Please go ahead.
Jeff Osborne - Cowen: Great. Good afternoon, guys. A couple of quick questions from me. I was wondering on the Toray side you mentioned $1.5 million in revenue, but then you also alluded to a $1 million payment from something in a prior year. If I’m understanding right, is it just a $0.5 million for the production and $1 million was some habitual or maybe just explain that a bit further?
Brett Lund: Yeah. No problem. So, yes, the off-take itself was $0.5 and $1 million was associated with a -- they provided us a $1 million in 2012 that -- effectively to help us build that plant. And there was a chance that if we hadn’t produced the para-xylene by certain period of time and shifted to them, that we would had to give them that $1 million back. So from 2012 it’s been sitting on our balance sheet as deferred revenue. So we weren’t able to recognize that revenue with this shipment.
Jeff Osborne - Cowen: Got you. Thanks for the clarification there. And then on the, I had a question on iDGs versus DDGS, is the protein content the same and hence the price per pound similar for the two or how do we think about that, if you try to give granular on modeling the production above?
Mike Willis: Yeah. The actual approximate analysis is identical between the two. And so, there is no material difference. As we start-up and continue to learn how to run isobutanol and get the plant running on the iDGs side in particular. These products won’t be perfect, the way that DDGS are perfect, we also get good at running it. So I would put them in the slight discount DDGS very...
Jeff Osborne - Cowen: Okay. As a rule of thumb, how many IDGs per gallon of isobutanol you folks have produced, as it gets perfect.
Pat Gruber: What I should know on top of head and I don’t. How many IDGs to be produce for per gallon of isobutanol, could be that normal number better…
Mike Willis: It ultimately gets down to that same range of ethanol which is kind of always in the 16.5 pound for both range.
Pat Gruber: Yeah. But the question on the triangle say, it, yeah, it does, that’s 2 million to 3 million gallons of run rate capacity for isobutanol, what that’s turn into for -- you might be calculating right now…
Mike Willis: Yeah. Just a second.
Jeff Osborne - Cowen: Are you guys got the calculator on that, maybe for you Pat. As you put into the distillation column, A, have you started that process, how long they are going to take and do you see any risk of ramping that up?
Pat Gruber: So, yes, it’s started, getting the project implemented, it is going to take us to probably into beginning of October and could take plus and minus a couple of weeks. But they have had what little details that we have to follow-up on that, maybe there’s a bidding or something or control or something. I don’t expect any issues and implementation of our installation equipment. In terms operating equipment, it’s really, it’s perfectly straightforward, so I don’t anticipating issues operating in there. We have operated the columns like this in the past. We have other columns in our plant. But we took them over and put up all into one, because we needed the capacity for ethanol.
Jeff Osborne - Cowen: Got you. And two other quick ones, I wonder if you were to go down on path of expanding the plant. What your sense with the air permits that you have and how long that would take to permit. So if you pull the, made the decision today to do that, where are you in terms of permits and anything beyond financing, I guess, what would be the timeline.
Pat Gruber: I don’t have the good timeline. We have to start to working on it internally though. I mean, we have done, well, we have started on it.
Jeff Osborne - Cowen: Okay. And then last question, I may have missed this, but did you give the gallons of isobutanol either produced or sold in the quarter?
Pat Gruber: While, we did not.
Jeff Osborne - Cowen: Okay. Perfect. Thanks so much.
Mike Willis: And I believe if I am doing the math right and I maybe wrong. But I believe its going to be somewhere in the 15,000 to 20,000 tons, that 2 million to 3 million gallon range. Is that sounds right, I do…
Jeff Osborne - Cowen: All right. Thanks much guys.
Operator: We have no further questions at this time. I will now turn the call back over to Pat for final remarks.
Pat Gruber: Thank you all for joining us. I appreciate it and thank joining us on our call today. Bye-bye.